Operator: Good day, ladies and gentlemen, and welcome to the Northrop Grumman Fourth Quarter Earnings Conference Call. My name is Erin, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today's conference, Mr. Steve Movius, Vice President of Investor Relations. Please proceed, sir.
Stephen C. Movius: Thank you, Erin, and welcome to Northrop Grumman's fourth quarter and year-end 2011 conference call. We provided supplemental information in the form of a PowerPoint presentation that you can access at www.northropgrumman.com. Before we start, please understand that matters discussed on today's call constitute forward-looking statements pursuant to Safe Harbor provisions of Federal Securities laws. Forward-looking statements involve risks and uncertainties which are detailed in today's press release and our SEC filings. These risk factors may cause actual company results to differ materially. On the call today, are our CEO, Wes Bush; and our CFO, Jim Palmer. Please go to Slide 3. At this time, I'd like to turn the call over to Wes.
Wesley G. Bush: Thanks, Steve. Good morning, everyone, and thanks for joining us. I'll start this morning by first reviewing our 2011 results, then I'll address our outlook for 2012. Fourth quarter and full year results for 2011 were outstanding. They demonstrate that our focus on performance, portfolio alignment and effective cash deployment continues to create value. Despite the challenging top line environment, we delivered strong results by nearly every measure. Segment and total operating margin, earnings per share, cash from operations and free cash flow all were higher than our 2010 results. Our team continues to build on our strong record of program execution and performance, which is essential to meeting our customer needs for affordable, high-quality products and services. I'm very proud of how our team has come together these last several years to really drive performance improvements in our business. Achieving these improvements has required some tough decisions across our company, but these efforts have positioned us to be successful well into the future. Turning to our results, fourth quarter earnings from continuing operations more than doubled to $2.09 per share, and for the year, earnings per share from continuing operations increased 17%, to $7.41. Segment operating income rose in both periods. For the quarter, segment margin rate increased 100 basis points, to 11.9%. And for 2011, segment margin rate expanded 90 basis points, to 11.6%. Pension adjusted operating income also increased for both periods. And for 2011, our total operating margin rate, adjusted for net FAS/CAS pension, expanded 90 basis points over 2010, to 10.9%. Cash from operations and free cash flow were outstanding for both the quarter and the year. Before discretionary pension contributions, 2011 cash from operations totaled nearly $3 billion and free cash flow totaled $2.5 billion. For the year, conversion of earnings from continuing operations to free cash flow, before the effect of discretionary pension contributions, was 120%. Our strong cash flow and the $1.4 billion Huntington Ingalls spin-off contribution allowed us to return substantial cash to our shareholders through share repurchases and dividends. In total, we spent $2.3 billion to repurchase more than 40 million shares, and at year-end, approximately $1.7 billion remained on our share repurchase authorization. We also raised our quarterly dividend by 6.4% last May, our eighth consecutive annual increase. And we paid our shareholders $543 million in dividends in 2011. Through share repurchases and dividends, we returned cash of $2.8 billion to our shareholders in 2011, 150% of our free cash flow from continuing operations. And through the Huntington Ingalls spin-off, we distributed an additional $1.8 billion of equity value to our shareholders. During the quarter, new business awards totaled $7.1 billion, a book-to-bill ratio of 109%. For the year, new business awards totaled $25.3 billion, a book-to-bill ratio of 96%. We ended the year with a total backlog of nearly $40 billion. Looking ahead, we remain focused on aligning our cost structure with our customer's affordability and efficiency objectives. Actions to date to support affordability have included consolidating business units across the enterprise, reducing overhead in our operating businesses, restructuring our debt to reduce interest expense, streamlining our corporate office and redesigning our benefit plans. Looking ahead for this year, we expect 2012 earnings per share from continuing operations of $6.40 to $6.70. Our 2012 guidance calls for sales of $24.7 billion to $25.4 billion, double-digit segment and total operating margin rates, cash from operations of $2.3 billion to $2.6 billion and free cash flow of $1.8 billion to $2.1 billion. Let me focus for a moment on our top line guidance. As we discussed in our third quarter call, our 2012 sales outlook includes about a $500 million impact from our portfolio shaping and the adoption of units of delivery accounting for the F-35 LRIP 5. In addition, approximately $1 billion in revenue reduction is driven by changes in a number of our large programs, including the DWSS termination, the transition from F/A-18 multiyear 2 to multiyear 3, the wind down of B-2 upgrade programs, lower in-theater sales and lower ICBM volume. Beyond that, we expect growth of about 2% in our core portfolio, which brings us up to the top end of the range. This includes continuing growth in our Cyber business and unmanned programs such as BAMS, Fire Scout and Navy UCAS. From there, our guidance considers a range of uncertainty that recognizes the potential for additional program changes resulting from budget decisions and timing issues such as potential award delays, the pace of in-theater troop drawdowns and potential continuing resolution funding for the 2013 budget. We see this range of uncertainty representing up to about 3% of sales off the top end of the range. Based on Secretary Panetta's outline of our nation's new strategic security direction, we believe we are well-aligned with the priority investment areas to support a smaller, more agile, technologically advanced security force. We expect about 75% of 2012 sales to come from our 4 strategic focus markets: C4ISR, Unmanned Systems, Cybersecurity and logistics, plus our business focused on manned strike aircraft. While we were generally encouraged by the elements of the defense budget discussed by Secretary Panetta last week, including continuing support for our Global Hawk Block 40 system, the Navy's BAMS program and other Unmanned Systems such as Fire Scout and Navy UCAS, we were disappointed by the Air Force plan to cancel the Block 30 program on Global Hawk. We will be working with the Pentagon to assess alternatives to Block 30 termination that will ensure a more cost-effective transition into production for the other programs that are based on Global Hawk. Aside from Global Hawk Block 30, the elements of the President's budget introduced last week demonstrate an increasing alignment between Northrop Grumman's core capabilities and priority areas of customer investment. Overall, it validates the portfolio shaping we've done over the last several years to increase our focus on C4ISR, Unmanned Systems and Cybersecurity, and it also supports some of our long-standing core competencies in space and of course long-range strike. Cyber, both defensive and offensive, is one of the budget areas that is expected to increase. The DoD also expressed a strong commitment to the new bomber as a critical component of our nation's ability to project power in denied environments. The budget also protected funding for space systems, including the Space-based Infrared System and the advanced extremely high-frequency communication system. Both are programs in which we participate. And sea-based unmanned ISR systems such as our Fire Scout were specifically cited for increased investment. We also view this military strategy as supportive of our efforts to market our products internationally so that our allies can build their capacity to more effectively play an increasing role in global security. We expect the 2013 budget process will be long and contentious, with another continuing resolution likely as the administration and Congress balance the need for fiscal restraint with the need to protect against a wide range of national security threats. It's unclear how the issue of sequestration will be resolved, but we certainly share Secretary Panetta's view that the budget cuts mandated as a result of the failure of the Super Committee would seriously endanger national security. Despite these uncertainties in our environment, our 2011 results demonstrated that we are building a high-performing portfolio that aligns well with our customers' priority investment areas. Our leading capabilities in these areas will be essential to securing our national interest for the smaller, more agile force structure and reduced defense budgets. We have a diversified government customer base that includes substantial exposure to the Air Force, the Navy and restricted customers, and we provided a slide that depicts our estimated 2012 revenue by customer. In conclusion, creating shareholder value in this environment means that we must continue to be absolutely focused on our key priorities, driving performance, effectively deploying our cash and optimizing our portfolio for the future. Our record these past few years demonstrates this view successfully, and I'm delighted to be working with our company's talented team to create long-term sustained value. So now, I'll turn the call over to Jim for a more detailed discussion of results and guidance. Jim?
James F. Palmer: Thanks, Wes, and good morning, ladies and gentlemen. My comments will focus on our 2011 results and then 2012 guidance. But first, I'd like to reiterate Wes' comments relating to 2011 results, which, in my view, were outstanding. We again challenged our team to significantly step up performance, and they did, delivering higher earnings and converting those earnings into strong cash flow, all done in a challenging environment. Turning to the Sectors on Slide 5, Aerospace Systems had a strong finish to the year with solid sales and higher operating income. AS margin rate expanded 60 basis points to 12.1% from 11.5% in the prior year through a combination of improved performance on several programs and lower purchased intangible amortization. Now we are also doing some additional portfolio realignment in Aerospace, and as of January 1 of 2012, the Missile business, principally the ICBM program, will transfer from Aerospace Systems to Technical Services. Schedule 6 of the earnings release provides a reconciliation of historical results and results adjusted for that transfer. So with that adjustment, AS has 2011 sales of about $10 billion. And based on what we know today regarding our programs, we would expect Aerospace 2012 revenues to range between $9.7 billion and $10 billion, with low to mid 11% margin rates. Estimated 2012 sales reflect higher volume for programs like Fire Scout and E-2D Advanced Hawkeye, which are being offset by the DWSS termination, lower F-18 volume during the multiyear 3 start up and declining volume across the number of other programs. Electronic Systems 2011 sales declined 3%. Force reductions and overseas contingency operations reduced volume for programs like LAIRCM and the Vehicular Intercommunication Systems, or VIS. We also had lower domestic postal automation sales as we began to deemphasize that business in '11, in 2011. Operating income in 2011 increased 5% and margin rate expanded 110 basis points to 14.5%. The 2011 trends reflect improved program performance and positive adjustments for several programs in our Land & Self Protection business and our ISR business. 2011 was particularly strong due to positive performance adjustments on mature programs and programs nearing completion. For 2012, we expect modest decline in ES revenues to a range of $6.9 billion to $7.2 billion, reflecting the deemphasis of the domestic postal automation business and continued troop drawdowns that will impact programs like VIS, the Lightweight Laser Designator Rangefinder and some of our C4ISR networking for the Army. We expect ES to continue its strong performance with margin rates in the mid to high 13% range, exceeding our long-term guidance target of 13%. Information Systems 2011 sales reflect lower volume in our -- in civil agencies and our Defense businesses, including reduced funding for existing programs and program completion. As our shortest cycle business, IS has most been impacted by our customers' cautious spending in this uncertain budget environment. Operating income, on the other hand, improved by about 1%, and IS margin rate expanded 70 basis points, to 9.7% for the year. The higher margin rate reflects improved performance in civil programs, including the impact of the County of San Diego contract sale, both of which more than offset the impact of lower sales. For 2012, we expect IS sales of $7.4 billion to $7.6 billion due to lower volume for in-theater programs like the Command Post Platform and FBCB 2 I Kits, lower civil revenues resulting from the 2011 sale of the San Diego contract, which contributed $50 million of revenue in 2011 and then just the overall budget uncertainty. Due to their improving business mix, however, we expect IS will sustain much of the margin rate improvement that we saw in 2011, so we are forecasting a mid-9% margin rate for IS in 2012. Moving to Technical Services, 2011 sales declined 16% but operating income increased by 5%. Margin rate expanded 160 basis points to 8%. These results reflect the impact of the reduction in the participation in the Nevada Test Site program as well as portfolio-shaping actions to reduce our exposure to base operations programs. For 2012, we expect sales of $2.6 billion to $2.7 billion, which reflects our continued portfolio-shaping actions, the addition of the Missile Systems business at volumes that are about $100 million less than what we saw in 2011 due to the wind down of a major hardware upgrade program in the Missile business, as well as lower KC-10 volume and lower volume for several other programs. We expect Technical Services 2000 [2012] rate will be in the mid-8% range, reflecting the improving business mix, the transfer of the Missile business from AS and just overall performance. Now our 2012 margin rate expectations for all 4 of our business exceed our long-term target rates for each of the 4 businesses, which, as you know, are 11% for Aerospace, 13% for Electronic Systems, 9% for Information Systems and 8% for Technical Services. Moving to Slide 6, a summary of our 2012 guidance, Wes discussed the impacts of 2012 sales and how we establish our guidance. So I'm going to move on to the balance of the chart. On a consolidated basis, we expect the sectors to generate a segment margin rate of about 11% and we expect a total operating margin rate in the mid- to high 10% range, which reflects a positive net FAS/CAS pension adjustment of approximately $130 million and corporate unallocated expenses comparable to 2011. Earnings from continuing operations are expected to range between $6.40 and $6.70 per share. We expect cash from operations of $2.3 billion to $2.6 billion, and free cash flow of $1.8 million to $2.1 billion. And again, we expect that cash flow will be weighted towards the second half of the year as has been our historical pattern. I would note that we are currently not planning any discretionary pension contribution in 2012, and that our required 2012 pension contributions are about $65 million. I should point out that in the fourth quarter of 2011, we made an additional $500 million discretionary pension contribution, bringing our total 2011 discretionary contributions to $1 billion. Slide 7 provides a bridge or walk between 2011 earnings per share and our 2012 guidance. Lower sales had an impact that ranges between $0.30 and $0.45 and lower segment margin rate accounted for another 35% -- to $0.30 to $0.35 of the variance. Our net FAS/CAS pension adjustment for 2012 is declining from a positive adjustment of $400 million in 2011 to a positive adjustment of $130 million, which impacts 2012 earnings per share by about $0.65. 2012 net FAS/CAS adjustment is based on our plan asset returns of about 6.5% in 2011, a 75 basis point reduction in the discount rate to 5% from 5.75% last year, and a 25 basis point reduction in our expected long-term rate of return to 8.25% from the 8.5% that we previously had used. The net pension adjustment also reflects a planned design change that reduces both FAS and CAS cost in 2012. That design change takes out significant future cost, thereby improving our competitiveness and affordability. This is an example of how we are adjusting our cost structure in response to our customer's need for affordability. I would also point out that even with the 75 basis point reduction in the discount rate, the funded status of all of our plans at year end was 88% on a GAAP basis. 2012 earnings per share assumes a tax rate of 34.25% about a $0.15 impact due to the expiration of the research and development tax credit. And lastly, our guidance includes continued capital deployment activities that result in a decrease in the weighted average shares outstanding of about 9%. This reflects our lower share count at the beginning of the year due to the substantial 2011 share repurchases, the issuance of shares in 2012 for incentive compensation and stock option exercises and anticipated 2012 share repurchases. The lower share count positively impacts 2012 earnings per share, ranging from $0.60 to $0.65. In summary, we continue to expect solid performance from our businesses in 2012, with margin rates that exceed our long-term targets and continued strong cash flow. So Steve, with that introduction, I think we're ready for some Q&A.
Stephen C. Movius: Thanks, Jim. Erin, we are ready to start the Q&A process.
Operator: [Operator Instructions] Your first question comes from the line of Doug Harned from Sanford Bernstein.
Douglas S. Harned - Sanford C. Bernstein & Co., LLC., Research Division: I'm interested in Information Systems, and in the quarter, your backlog was down about 18%. And could you talk about where you're seeing the decline in the backlog across Defense Systems, Intelligence Systems and Civil? And where you think that's going to go longer-term? And I ask that specifically because with the strong position in Cyber and some other priority areas, one might expect some strength there. But can you talk about the subsegment trends?
James F. Palmer: Doug, the reduction that you're seeing in Information Systems backlog is principally due to the adjustment we made across the portfolio, but largely concentrated in Information Systems around our future expectation for amounts remaining on contract to be converted into future sales. And so, we went through a process this year that looked at amounts that were put under contract, for which the period of performance had largely expired and there'd been very little activity. So on one hand, there was amounts remaining on backlog, but it just felt like, to us, that in the current environment they may not be converted in the future sales. And so we made a -- an adjustment, or a reserve, against some of that backlog to reflect our view that some of that may not be realized as future sales. So that's the largest adjustment.
Wesley G. Bush: Let me give you a little bit of flavor, Doug, too, by some of the business areas. If you just look at our progress over last year, in terms of awards in the business, we're doing quite well. And the 3 components that you mentioned, Civil, Defense and Intel, civil's about 20% of the top line, defense is about 50% and Intel is about 30%, just very rough numbers for the makeup of the business. And as you might imagine, we are seeing some pressure on the Defense side in particular, and Jim mentioned that in his commentary with some of the changes relative to the needs in theater, the defense area is where the majority of that work has been performed for in-theater support. But when we strip that piece of it away, your earlier comment about our position on Cyber, which plays through actually all 3 of those areas, puts us in a place where we think that this business is quite well-positioned for the future. So we're not overly wringing our hands around either the component makeup of the business or how we're doing in the business calendar. But Jim's point was a very important one, about if you just look at that total backlog number, it reflects a very specific set of decisions we made this year in terms of our convention for reporting the backlog.
Douglas S. Harned - Sanford C. Bernstein & Co., LLC., Research Division: And that decision -- but that decision is essentially made to reflect some of the trends that are -- that I would say are weaker going forward, I assume.
Wesley G. Bush: I know this was largely a thought process. There's a lot of different conventions for reporting backlog that we see in our industry. There are those who report their future expectations towards the awarded on task orders for ID/IQs for which they've qualified. We don't do that. There is -- there are sort of a standard convention for one's you've captured an award, it goes into backlog and stays there unless terminated or other action is taken. We've gone through, I think a really rigorous process of going through a scrub, that Jim mentioned that we think is appropriate given the environment, but most of that cleanup was not necessarily a reflection of just this past year's decision.
James F. Palmer: Or even 2010.
Wesley G. Bush: That's right. It's more of a look long-term look back on the clean up that we felt was appropriate in light of all of the pressures that we see our customers facing. So it would be inappropriate to read that as an indicator of the success of the business in either capturing awards or at least over the last couple of years, and fulfilling those awards.
Douglas S. Harned - Sanford C. Bernstein & Co., LLC., Research Division: Well then, is there a point here from what you described about declines in certain areas such as those related to current overseas operations? You see declines in certain areas, you see growth in others. Is there a point where you're really seeing the transition where you expect this will turn around in terms of a top line trend?
Wesley G. Bush: It's hard to call that over the longer term. We're guiding for this year. I think we're going to learn a lot by looking at the details of the President's budget that's due out here over the next couple of weeks, the details of the '13 budget, to see how that all parses out into the pieces. But I wouldn't want to be in a spot of trying to call it in terms of where that begins to turn around. Obviously, a big factor in that will be the transition of the overseas deployments. And how that actually plays out, I would say there's still some uncertainty surrounding that.
Operator: And your next question comes from the line of Howard Rubel from Jefferies.
Howard A. Rubel - Jefferies & Company, Inc., Research Division: I want to sort of ask one -- make one comment and then ask a question that's probably totally fair, Wes. The comment first is I like the presentation that Jim does with respect to pension contributions after cash -- after taxes, rather. Most people don't do that, so I think that's a very good and fair and balanced true-up approach, and I appreciate that.
Wesley G. Bush: That's good.
Howard A. Rubel - Jefferies & Company, Inc., Research Division: The other question, or the question is, we measure kind of performance on earnings per share, and you're going to have down results for this upcoming year. And while I recognize, if we look at the free cash flow yield for this upcoming year, it's, call it, 13%, give or take a little bit. So on one measure, great number going forward. On another measure, it's not really value-creating. How do you square that, Wes, and how do you think a little bit longer term on this challenge of growing earnings?
Wesley G. Bush: Yes, clearly there's a couple of components to it, and I think it's a very fair question, Howard. The pressures on the top line are the reality. That's the budget environment that we're in. It is imperative on us to make sure that our portfolio is very well-aligned as best we possibly can. And part of the reason for that extra chart that we included in the presentation today, the little pie chart, was to help you, help everyone, make their own assessment of how well they think that is aligned. We think it's a good alignment, but we wanted to provide a little bit more detail in the way we see our portfolio. And everyone can certainly make their own assessment of that. So focusing on the alignment to really manage our way through the budget pressures is very important. But the other really big lever, I would point out, too, there are very big levers in this process, are how well we're actually executing on the business. And we look at that, I think most perceptively in terms of margin rate and cash conversion. The margin rates are going very well. We've made a lot of progress in our company these last several years, and delivering more effectively on the opportunity that's inherent in the contracts. That goes to risk management, that goes just good old downright program execution and it also goes to cost management. And those are all areas that we've taken on very aggressively, and we are seeing the benefits translate into EPS. And then I mentioned, of course, free cash flow, converting earnings into cash. If you can't do that, then it's sort of empty to start with. And then, on the backside of that, what you actually do with a cash. So when we think about value creation, and because I think that was inherently the essence of your question, from my perspective, it means getting the best alignment with where things are going so that we can manage our way through the budget pressures, it means executing very, very effectively so that we're generating good earnings, and we're converting those earnings into good cash, and that means being very smart about what we're doing with that cash. That's the way we're thinking about the value equation in our company.
Operator: And your next question comes from the line of Cai Von Rumohr.
Cai Von Rumohr - Cowen and Company, LLC, Research Division: So a question about pensions, so you have contributions of $65 million required, and yet kind of by what you said, it looks like you're underfunded by about $2.8 billion, and the government's writing you checks for $500 million. So essentially, pension is the cash flow plus on a pretax basis of over $400 million. So is that sustainable cash flow? I mean, if we look to the future, are you going to have to put more money in either this year in the future, or is the CAS going to come down so that your free cash flow that you're talking about this year in a steady-state environment is going to erode?
James F. Palmer: Actually, Cai, good questions. Frankly, my view would be over the foreseeable future, CAS costs are actually going to go up, largely because CAS amortizes what we all remember as the significant negative investment performance in 2008 over 15 years. So we're just beginning to -- on the front end of that amortization process, CAS costs likely are going up. You have the benefit of CAS harmonization that it will be stepped in over the next 5 years as well. So on a look-forward basis, I think we all would see CAS costs large largely going up now, to the extent that we have really great investment performance over the next couple of years. Again, that would be amortized over that 15-year period on a go-forward basis. So those are all offsets. I do think that, as I said, CAS costs go up over the next few years, looking forward. You are correct that if we don't make any voluntary contributions this year, we do have a cash flow benefit that comes from essentially recognizing the past actions we've taken to fund the plant -- plan ourselves, ahead of when we got reimbursed for the CAS cost.
Cai Von Rumohr - Cowen and Company, LLC, Research Division: And then does that mean in the future, your -- if CAS is going up, your cash contributions also will have to go up, or how will that work?
James F. Palmer: That -- so as I think many of you know, we have 3 sets of different rules that we have to deal with. And essentially, cash contributions are governed by the ERISA rules and PTA funding. And they -- the cash contributions required there are a function of how well-funded you are. And again, at our 88% funding on a GAAP basis on an ERISA-funded basis we're close to 100%. In fact, you really have to look at every plan itself, but when we do that, our ERISA funding for purposes of cash contributions, the lowest funded plan is probably in the 95% range and some of them are well over 100%. But on an aggregate basis, just about 100% funded. So, and again, that ERISA funding is a function of how well-funded you are under that ERISA determination with a big factor being interest rates and they use a different set of interest rates that we need to use for FAS purposes or for CAS purposes. So I know that's a long-winded answer, but different set of rules, but it is affected by how well-funded your plans are to begin with. So we have a huge step up in that regard, and then interest rates pay -- play a factor as well.
Operator: And your next question comes from the line of Joe Nadol from JPMorgan.
Joseph Nadol - JP Morgan Chase & Co, Research Division: Jim, on the segment margins, you indicated that in each of the segments, they're expected to run this year at slightly above your projected long-term average. And I was wondering if you could maybe characterize at a high-level why you think you're going to be able to sustain that this year. It is down about 60 basis points off of a great performance in 2011, but maybe something around mix, is the mix more favorable? And also, I would imagine that you are probably spending some money below -- in there somewhere around restructuring, given the sales declines. And that's probably negatively impacting you. So some color there would be helpful.
James F. Palmer: Yes, well, we are -- it's true, Joe, that we're spending some money on restructuring. We try to manage our overall overhead rates to accommodate that. But it's also very important to get out in front of those activities so that you don't have a negative impact on your programs. And so there's a delicate balance there. It is costing us some in terms of the efforts that we need to undertake to restructure. And in -- on terms of just margin rates overall, we do have some programs transitioning from one to another. I'll point to F-18 multiyear 2 to multiyear 3. So, a mature program, mature finishing production, to although a mature product on the front end of the new development or new production of the multiyear 3 contract. So we have instances like that across the board. And as I pointed out in my prepared comments, the Electronic Systems guys had just a fabulous year in 2011. Margin rates well above what I view as the target for that industry. I do expect that they're going to maintain some of that momentum, but I don't think they can maintain all of that momentum that we saw in 2011. So that's why you see their margin rates essentially declining from, let's call it around 14.5% in 2011 to the mid-13s that we guided to for our mid to high 13s that we guided to for 2012.
Joseph Nadol - JP Morgan Chase & Co, Research Division: And from a mix standpoint, just thinking through what one more level maybe, you're cutting it certainly differently. From a mix standpoint, would you characterize domestic versus international as consistent with the long-term trend and then also maybe fixed price versus cost plus or mature versus R&D-oriented?
James F. Palmer: I don't know, Joe, that there's a significant shift in the overall mix. Our fixed-price content of the aggregate portfolio on a year-over-year basis. So I think it is much more, as we're seeing, some decline in the revenue base. Programs that are nearing completion, that are mature, having reduced volume on a go-forward basis. And so that's reflected in some reduction in margin rates. Essentially you have to absorb more cost with a lower volume on the remaining programs.
Operator: And your next question comes from the line of Myles Walton from Deutsche Bank.
Myles A. Walton - Deutsche Bank AG, Research Division: Maybe to go back to Cai's question for a second, Jim, on pension and then we'll move over to the operations. On the funding side, ERISA, 100% today, but I think that's more of an ABO basis. As you look out, when did the required contribution start to more tie back to the 88% funded status? So is it '14, is it '15? And are those sizes kind of in the $300 million to $500 million range?
James F. Palmer: Yes, all of -- you're asking for this huge crystal ball that has perfect clarity. So let me give you a perfect clarity answer. Obviously, it's going to depend on investment earnings in '12 and '13. It's going to depend on interest rates in '12 and '13. But if I were able to hold all of everything constant and achieve my long-term investment rate of return, I would be looking at contributions, required contributions in the 2013 timeframe of around $300 million.
Myles A. Walton - Deutsche Bank AG, Research Division: Okay, great, that's -- I think that clarifies it. And then on the operations, I think the NRO surprisingly publicly stated a couple of weeks ago they were going to award the follow-on imaging satellite sole source to Lockheed this year. I think you guys are payload for that. I'm curious, 2 things. One is, would that be a booking sizable in 2012 and second, would be a source of growth in '13 or beyond?
Wesley G. Bush: Myles, I think we will refer you to the NRO to get the best response to that question.
Operator: And your next question comes from the line of Robert Spingarn from Credit Suisse.
Robert Spingarn - Crédit Suisse AG, Research Division: Doug touched on the backlog decline in IS, and you went through that in detail. But from a higher level, could you talk about the 12% decline year on year in total backlog and the unfunded piece of that is fairly significant. And you're -- and now your total backlog, both funded and unfunded as a ratio of sales has come down quite significantly over the last few years. So is this timing-related or do we have a -- is there a bookings issue coming?
James F. Palmer: I don't think so, Rob. So let me try to review again what went on in backlog. First, as Wes said in his comments, $25.3 billion of awards this year, roughly equal to sales. Let's start there. So we did have some backlog adjustments. We had this reserve that I talked about that aggregated about $3 billion across the portfolio, but largely in IS. In addition to that, we did have a restructuring of the NPOESS contract and another a couple of other space contracts where we took $1.5 billion of backlog out of backlog at the beginning of the year to reflect the cancellation of the NPOESS contract and then some change in some space programs. If you want, you can go back and look, and as I recall in the second quarter when we disclosed that. And then in the first quarter last year, with the decision to reduce our participation in the Nevada Test Site joint venture, we took the backlog that was -- because we're no longer consolidating sales, we no longer consolidate the backlog, and we took $1.7 billion out of the backlog to reflect that. Those are the 3 principal unusual activities, if you want to call it that, that occurred in backlog during the year.
Robert Spingarn - Crédit Suisse AG, Research Division: Is there a way for you, Jim, to quantify the duration of the backlog today versus what it used to be?
James F. Palmer: The best way that I would do it is to take each of the amounts for the 4 sectors and divide by revenues, and that is kind of a rough approximation. Obviously, the IS, the shorter cycle business, has a lower backlog to sales ratio than any of the other segments of the business.
Robert Spingarn - Crédit Suisse AG, Research Division: And then just one other thing, we've heard from some of your peers on foreign military sales orders being pulled forward into the fourth quarter here and out of Q1. Anything there for you in that sense?
James F. Palmer: I think the foreign market is an opportunity for us on a go-forward basis. I think the Secretary's comments are encouraging. Obviously, we have to work through export control issues. But there is a demand or interest in a number of our products across the portfolio. And just logically, as U.S. defense budgets are constrained, it would seem that we would want to rely on our allies to do what we may have done in the past. So I think that is ultimately an opportunity for us in a go-forward basis.
Wesley G. Bush: All right, Rob, you were asking about some pull forwards out of potentially this quarter into the last quarter of last year. Is that --
Robert Spingarn - Crédit Suisse AG, Research Division: Only because we've seen it elsewhere.
Wesley G. Bush: I -- we didn't -- we did not see anything unusual in that regard in our company.
Robert Spingarn - Crédit Suisse AG, Research Division: Okay, and then just lastly, Jim, I might've missed this because I joined the call late, but in terms of your buyback for '12 which was like about 8%, something like that, rough number, what's the cadence on that? How are you assuming that goes forward?
James F. Palmer: Generally spread throughout the year, consistent with largely our historical practice. So I wouldn't say it's exactly ratable through the year but spread throughout the year.
Operator: And your next question comes from the line of Sam Pearlstein from Wells Fargo.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Jim, can I go back to pension one more time, and can you talk a little bit about what that design change means?
James F. Palmer: Yes.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Did you change the benefits? What did that mean?
James F. Palmer: We essentially put a cap on what is called final average earnings, for the people who participated or partly participates in the defined benefit plan so that after a point in time, final average earnings will not continue to grow, which essentially reduces the liability on a long-term basis, reduces cost starting in 2012 and going forward. Rather, it was important that we do that. We got a significant cost benefit out of it and essentially got our plans into what we thought was current market conditions.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Does that mean there's a liability is peaking now as well?
James F. Palmer: The liability is dramatically affected as we saw by the change in discount rates. So if you tell me what discount rates are going to be, then I guess I can tell you whether it's peaked or not.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Okay, all right, that's fair. And then separately, can you just talk a little about Global Hawk, Wes? You mentioned about the Block 30 termination. Can you just talk about how the Block 30 to 40 transitions? And obviously, I'm not expecting you to give me total Global Hawk sales, but can you just talk about directionally in percentages, how it looked from '10 to '11, then '11 to '12 as we're seeing some of those pieces?
Wesley G. Bush: Well, let me just say in terms of this transition, that's something that we're -- we are beginning the discussions with our customer community around. There's an important set of transitions from the production work we're doing on Block 30, certainly with Block 40, but also in the BAMS. And it would not be appropriate for me to get out in front of those discussions that we're having with our customer in that regard. I would say, naturally, that we were, as I said in my comments earlier, we were disappointed with the plan on Block 30, but we were also at the same time, very, very pleased with the very strong statement of support that we got from the Department on BAMS, and of course Block 40 and a number of our other unmanned missions, including Fire Scout. So I don't want to get out ahead of exactly how this will play out. We want to obviously work with the Department to make this work the right way. With respect to the numbers, I would just simply say that we spent some time thinking about the range of outcomes and that's included in the range of the guidance that we provided.
Operator: And your next question comes from the line of David Strauss from UBS.
David E. Strauss - UBS Investment Bank, Research Division: Jim, at Aerospace Systems, a lot of moving pieces there in terms of F-35 and the transition of the Missiles business. Can you just walk through all the different moving pieces and roughly how much they each account for? And then on F-35, just an update in terms of exactly where you stand, what's under contract at this point and what LRIP you're delivering on at this point?
James F. Palmer: So, let me grab a couple of things here, David. We had 10.1, 10.4 for revenues this year. The Missile business takes us down, the transition of that business takes us down to about 10, as I've said in my comments. And then as we look at some of the other parts of the business that are moving around, we saw some growth in Fire Scout and E-2D. The DWSS contract termination reduces revenues by about $200 million. And the lower volume on F-18 is probably about another $150 million or so. So all of those and then consideration, as Wes said, to what may happen or when something may happen on Global Hawk Block 30 allowed us to get to our thoughts around $9.7 billion to $10 billion of sales guidance for 2012. But those are the big pieces that moved from year to year.
David E. Strauss - UBS Investment Bank, Research Division: And on F-35 units of delivery, how much is that impact?
James F. Palmer: It's about $100 million.
David E. Strauss - UBS Investment Bank, Research Division: And as a follow-up, on the share repurchase, the 8% assumption, or the 8% down in terms of the assumption on share count, it doesn't look like, based on where you are at the end of the fourth quarter. It doesn't look like you're actually assuming that much more additional in terms of share repurchase for 2012.
James F. Palmer: Well, actually, I said 9%. I guess someone else had said 8%. And as I said in my prepared comments, you start at the beginning share counts. We're going to issue some shares here through stock incentive plans at the end of February. We anticipate, as been the historical practice, that we'll have stock options that are exercised during the year, and then we're going to spend some money during the year as well to buy back shares. You got to remember that the share count is based on a weighted average share count. So you spend a dollar in January, it counts as, let's say if you bought it -- spend $1 that was 1 share. That counts as 1 share. If you spend that dollar in December, it counts as $1.12 for this weighted average share count. So the timing of when you spend the money when you buy shares back is really important to its overall impact on the weighted average shares outstanding for the year. And as I said to an earlier comment, my assumption is that we spend the dollars not exactly ratable but generally spread throughout the year. So those are the moving parts that get us to an -- about an overall 9% decline in weighted average shares.
Operator: And your next question comes from the line of Robert Stallard from Royal Bank of Canada.
Robert Stallard - RBC Capital Markets, LLC, Research Division: Jim, I was wondering, first of all, if you could give us a number for what your OCO, or operations exposure, was in 2011, and where you see that trending in '12.
James F. Palmer: We had, hard to quantify, but as we go and look at -- try to find all the pieces, we think it's about 3% of sales.
Robert Stallard - RBC Capital Markets, LLC, Research Division: And where is that heading in '12? Because you mentioned that there's a headwind in a couple of areas.
James F. Palmer: Well, we see a couple of hundred million dollars down.
Robert Stallard - RBC Capital Markets, LLC, Research Division: Okay, and then secondly, there's a lot of goodwill on the balance sheet. I was wondering if you've done a year end sort of impairment review on that valuation and how close some of the goodwill items were to a write-down.
James F. Palmer: Obviously, we have to do that every year. It's part of the normal procedures. We have, let's call it, a little bit over $12 billion. And if you look at the financials, the largest part of that goodwill is in the Information Services business. And so we do take a good hard look at all of our assumptions around that. We're comfortable that there's not an impairment as of the end of the year. We'll have to watch what happens in terms of the future revenues and all of that associated with the overall budget, what it means to each of the businesses. But as I said, with the Information Services having the largest piece of the goodwill, if there's any area that might have any exposure, it would likely be in that area. All right?
Stephen C. Movius: Erin, I think we have enough time for one more.
Operator: And your last question comes from the line of Jason Gursky from Citi.
Jason M. Gursky - Citigroup Inc, Research Division: Just wanted to ask the capital deployment question and get some updated thoughts from you there. Obviously, you've got a pretty balanced approach up to this point between dividends and share repurchases. I'm just curious what you think going forward clearly on the acquisition front. I don't mean to necessarily get into the details about where you want to make acquisitions, but just the importance of acquisitions going forward.
Wesley G. Bush: Now, Jason, in terms of -- broadly on thinking about acquisitions, for us it always comes down to the value creation equation. I said a number of times and I continue to say it, we really like our portfolio. and I don't feel like we have large gaping holes that we got to rush out and deal with. So it allows us to be very thoughtful, very disciplined in how we think about acquisitions. At the same time, we do engage in looking at a wide angle of alternatives we think we have an obligation, certainly to our shareholders, for the long-term to be active in our thought process and active portfolio managers. Yes, but ultimately, it comes down to value creation. And I will tell you that of late as we've looked at what's going on in the M&A space, there are some transactions out there that would be hard for us to solve the equation on value creation if we were looking at it ourselves. So we have biased our cash deployment towards the areas that we talked about, the share repurchase and dividend. And I think that's been serving us quite well. But we're going to continue to look, and the market obviously will have some ebbs and flows and we will be effective assessors of what those opportunities will be.
Stephen C. Movius: Thank you very much. Now that concludes our call. Wes has a couple of follow-up comments to close, and then I'm obviously available for additional questions.
Wesley G. Bush: Now let me just wrap up with a few thoughts. I think it's helpful, given the dynamics of the environment we're in, to stress some fundamentals. When I think about our company, and I mentioned this during my remarks and in response to a couple of questions. I think there are 3 things that are really critical. First, in a time of increasing pressure in our top line, it's even more important that our businesses are delivering on profitability in cash conversion across all of our operations, and I think we've demonstrated some nice improvements over the last few years. It shows that this focus is paying off for us. And secondly, the large amount of capital that's returning, that we are returning to our shareholders demonstrates our focus on delivering shareholder value. And that is the way that we are thinking about the overall value equation in our company. And thirdly, as we've talked about, a fair amount of portfolio shaping is going to continue to be key in this emerging environment, making sure that we're well aligned for the future. When I think about it a little bit more broadly and look at the world around us right now, it's clear that our nation's military strategy is going to continue to depend both on the extraordinary capability of our servicemen and women, as well as our ability to ensure absolute technological superiority. And the strategy recognizes that we will have to address a range of threats to our nation's security. We think we're well-positioned to deliver that technological superiority to support our nation and our allies. We expect a lot of turmoil in the budget environment in front of us, especially over the course of this year. But I think it's going to be really important as we go through that to keep these fundamentals in focus. Thanks again for joining us today, and thanks for your continued interest in our company.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.